Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Q4 2022 Conference Call. Today's call is hosted by Nitin Jain, President and Chief Executive Officer; and David Hung, Chief Financial Officer of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The Company does not undertake to update any forward-looking statements or information. Please refer to the forward-looking information and Risk Factors section in the Company's public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the Company's results in its MD&A and financial statements for the period, which are posted in the SEDAR and can be found on the Company's website, siennaliving.ca. Today's call is being recorded and a replay will be available. Instructions for assessing the call are posted on the Company's website. And the details are provided in the Company's news release. The Company has posted slides, which accompany the hosts’ remarks on the Company's website under Events and Presentations. With that, I will now turn the call over to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Good afternoon, everyone, and thank you for joining us on our call today. Long-term fundamentals in Canadian senior living remain strong despite an uncertain economic environment and a challenging labor market. Our Q4 financial results are a reflection of the growth potential embedded in our business as well as the current economic challenges. Continued occupancy and rate increases in the Retirement segment offset some of the significant cost increases across both, our business lines and funding shortfalls in the Long-Term Care segment. Despite these challenges, we believe that having a balanced portfolio in which our Retirement and Long-Term Care operations each make a significant contribution to the overall net operating income, add to the financial strength of our business and helps us achieve sustainable long-term growth. With respect to our operating results, average same property occupancy in our retirement portfolio grew for the 6th consecutive quarter to 88.6% in Q4, which is up 440 basis points year-over-year and 20 basis points compared to the third quarter in 2022. Average occupancy in our acquisition portfolio was approximately 85.3% which is an improvement of 310 basis points since we acquired the 12 assets in May of 2022. Going forward, we will continue to capitalize on the growing demand for senior living and expect further occupancy improvements. In 2023, we forecast average occupancy for the full year to achieve 90% in our same-property portfolio and to exceed 87% in our acquisition portfolio. We continue to leverage our Aspira brand and signage program to generate strong interest in our residences. Qualified leads have increased by approximately 29% year-over-year in the fourth quarter. Moving to slide 6. In our Long-Term Care communities, resident admissions progressed steadily throughout 2022, with average occupancy reaching 96.3% in the fourth quarter. Demand for Long-Term Care beds is higher than ever with the rapid increase of Canadian seniors. The 85 plus cohort is expected to triple over the next 25 years. This will put further pressure on the already long waiting list for Long-Term Care beds and on Canada's hospital systems. At the same time, labor shortages, high inflation and funding gaps are impacting our operations. Together with other sector participants and associations, we have been working with the government to address this situation and feel confident that will find a solution to ensure the long-term viability of this sector. Elevating the quality of life and well-being of our residents is at the center of what we do. We are very pleased that Sienna maintained the highest achievement status of ASPIRE to Excellence in Ontario, which is awarded by CARF and also received an award of Exemplary Standing from Accreditation Canada for our communities in British Columbia. These are strong indicators that our team has demonstrated excellence in the quality of care they provide. Our national shortage of healthcare workers continued to put immense pressure on our sector. Although a number of important government initiatives are underway, we expect staffing shortages to remain for some time. In 2023, we will continue to strengthen team engagement and retention by offering a compelling team member experience and by creating a purpose-driven culture. We’ll also continue to improve our onboarding process, invest in team member training and development and intensify our recruitment campaigns. Our initiatives to improve team member satisfaction and engagement have been reflected in our recent engagement survey. Approximately 85% of our team members feel that they are able to do meaningful work every day. This was the second consecutive year of improvement in an employee engagement score. Recently, we have implemented a centralized callout and shift scheduling system to meet a staffing needs on a real time basis. The system provides greater flexibility and a more seamless process to fill staffing gaps. It also helps with tighter controls and over time allow team members to optimize their schedules, and ultimately reduces our reliance on external agency staffing. To further reduce the impact of agency and agency related cost, we are finalizing an RFP process to reduce the number of agencies in the use from nearly 100 to less than 20. At the same time, we are strengthening our contract terms such as enforcing a minimum fill rate threshold and surcharges while reducing agency rates by an average of 10%. Moving to our focus on development, last year, the feasibility of our long term care redevelopment plans was challenged as a result of rising construction costs and rapidly increasing interest rates. Together with other participants in the seniors living sector, we have been working with Ontario government to address this situation. We are very pleased that in late 2022, the government announced a significant time increase to its long-term care construction funding. As a result, we expect to have a total of 480 beds under construction by mid 2023, including projects in North Bay, Keswick and Brantford. The project in Brantford consists of 160 long-term care beds and 147 retirement suites as part of campus of care. The campus will have an estimated total development cost of approximately $140 million and a projected development yield of approximately 7.5%. In addition, Sienna has over 1,000 beds in the planning stages in the Greater Toronto Area. We'll continue to advocate for funding that is aligned with inflation so that we can move forward with our redevelopment plans and improve long-term care in Ontario. We're also approaching the finish line for our joint venture development with Reichmann Seniors Housing of 150-suite retirement residence in the Niagara Falls, which we expect to complete by the end of this year. The estimated total capital investments for this project is approximately $55 million. With that I'll turn it over to David for an update on our operating and financial results.
David Hung: Thank you, Nitin, and good afternoon, everyone. I will start on slide 11 for financial results. In Q4 2022, total adjusted revenues increased by 10.9% year-over-year to $193.2 million. This increase was largely due to occupancy and rental rate growth and additional revenue from the 12 properties we acquired in Q2 in our Retirement segment, as well as flow-through funding for increased direct resident care and higher preferred accommodation revenues from increased occupancy in our Long-Term Care segment, partly offset by occupancy clawbacks in homes where we did not reach the required 97% occupancy target. Total net operating income decreased by 2.8% to $32.5 million this quarter, compared to Q4 2021. Our LTC segment decreased by $2.9 million year-over-year, mainly due to higher operating costs and the impact of the sale of a long-term care community in Q1 2022. NOI in our Retirement segment increased by $1.9 million, mainly as a result of same property NOI growth and additional NOI from our 12 new retirement properties offset by higher operating costs. Sienna’s LTC same property NOI decreased by 11.3% to $16.4 million in Q4 2022, compared to last year, primarily due to higher operating costs, in particular with respect to labor, as well as occupancy clawbacks. This was partly offset by an increase in preferred accommodation revenues as a result of higher occupancy compared to Q4 2021. We expect cost pressures to remain for some time at our long-term care operations and forecast our 2023 NOI for the full year in the LTC segment will remain at a similar level compared to 2022. Last year, the Ministry of Long-Term Care advised that it will not reopen the third and fourth beds in ward rooms and has signaled that it intends to introduce phased in revisions to the funding for these beds. Changes which could impact 350 of the 3 and 4 beds at Sienna were expected to begin in January 2023, but have been delayed until at least the end of March. In addition, we expect continued unfunded pandemic expenses of between $2 million to $3 million in Q1 2023 for our Long-Term Care segment, largely as a result of incremental labor costs. Retirement same-property NOI increased by 5% in Q4 20 22 to $14.7 million compared to the last year, primarily due to occupancy improvements and annual rate increases. This was partly offset by higher costs for labor and food, as well as increased maintenance and property taxes. In 2023, we expect NOI growth in our Retirement portfolio to be supported by occupancy improvements and rate increases of approximately 5%. These factors will contribute to revenue growth, while cost pressures will remain for some time, in particular with respect to staffing shortages, as well as high overall inflation. Considering all factors, we expect the operating margin in our Retirement segment in Q1 2023 to be similar to the full year margin of 35.7% in 2022 and we further expect the 2023 operating margin to improve by approximately 150 to 250 -- 200 basis points for the full year. Moving to slide 12. During Q4 2022, operating funds from operations decreased by 3.1% to $17.7 million compared to last year, primarily due to lower NOI and higher interest expenses. Q4 OFFO per share decreased by 10.7% to $0.243, primarily due to additional shares issued in March 2022, to finance the Company's growth initiatives. Adjusted funds from operations increased by 4.5% to $17.3 million compared to last year. The increase was due to the timing of maintenance costs, partly offset by lower OFFO. AFFO per share decreased by 4% to $0.237 in Q4 2022. The AFFO payout ratio was 98.7% for the quarter and 99.3% for the full year. In addition, we recorded restructuring costs of $6.6 million in connection with the permanent closure of a long-term care community in 2023. Looking at our debt metrics on slide 13. Our debt to gross book value decreased by 80 basis points to 43.9% at the end of 2022 compared to 44.7% at the end of 2021, mainly due to mortgage repayments with proceeds from property dispositions earlier in the year. Debt-to-adjusted EBITDA increased to 8.9 times in 2022 compared to 7.9 times in 2021, and interest coverage ratio decreased to 3.3 times in 2022 compared to 3.7 times in 2021. On December 9, 2022, DBRS confirmed Sienna's issuer rating and senior unsecured debenture rating of BBB with stable trends. These ratings underscore the resiliency and strength of our business and are a reflection of our strong balance sheet. We ended 2022 with approximately $287 million of liquidity, an increase of $61 million compared to 2021. We also had nearly $1.2 billion of unencumbered assets, which represents a year-over-year increase of approximately $80 million. I will now turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, David. 2022 has been a significant year for our company. We expanded our footprint in Ontario and entered Saskatchewan and have successfully integrated 12 retirement residences into our operating platform. At the same time, we’ve put many initiatives into motion to strengthen team member engagement and continued with enhancement to operating platforms to elevate the quality of life of our residents. These initiatives will support us at a time our sector remains under immense pressure amid a national shortage of healthcare workers and economic uncertainty. In 2023, we’ll focus on operational excellence, we will continue with a disciplined approach of our growing revenue streams in both long-term care and retirement while reducing costs in particular with respect to temporary agency staff. We’ll also advance the redevelopment of our long-term care portfolio and continue with enhancements at existing residences, all while maintaining a diversified portfolio and a strong balance sheet. We are confident that the significant changes in 2022 position as well to execute on our strategic objectives in 2023 and help us achieve sustainable long-term success. On behalf of our management team and our Board of Directors, I want to thank all of you on this call for your continued support. We are now pleased to answer any questions you may have.
Operator: [Operator Instructions] Our first question comes from the line of Jonathan Kelcher from TD Securities.
Jonathan Kelcher: First, just on the LTC outlook with the NOI being expected to be flat versus 2022. What sort of assumptions are in there on pandemic expenses and reimbursements, and as well as what do you guys think the outcome will be on the three and four bed ward rooms?
Nitin Jain: I can start by answering some of the questions and David can specifically address pandemic expenses. I would say, starting on the third and fourth bed rooms, there was -- I think the idea of closing the third and fourth bed room for quality of life they completely aligned with and supportive of. And I think the work with the government is that there are things that would not reduce -- expenses don't get reduced, if you have a building of 100 people and only 80 are in it, you still have to team the entire building, you have utilities in the entire building, you have the same administration. And so for -- then, government overall has been receptive of understanding the issues at hand. So at this stage, we continue to feel confident that we will have a funding mechanism, which obviously reflects reduced number of residents in those homes, but also reflect that the cost has not changed and also reflects nearly a 9% funding gap between what inflation has been and what the long-term care funding has been. So, we continue to believe and expect that we will have a viable program to continue to fund these homes, which have three or four bed rooms. Assumptions on funding increases year-over-year. Our going in assumption is similar to what we had had in the past. Having said so really the ask is -- a clear ask is a 9% funding increase, because that is the gap between inflation and what the funding has been. And we have data going all the way since 2000. And this is the first time in the period of last 25 years where the long-term care funding has fallen before inflation and the gap is around 9%, and that's what's needed to close the gap. David, do you want to address the pandemic expenses?
David Hung: Sure. Yes. So with respect to pandemic expenses, our pandemic expenses do continue to contain -- to include costs that prevent and contain outbreaks, but increasingly they are also -- include costs for incremental staffing and agency costs, particularly in our rural communities, where we experienced staffing shortages. With respect to our assumption, our underlying assumption is really that net pandemic expenses will stay flat relative to 2022. So, in 2022, our net pandemic expenses were $8 million. But that also included about $5 million of retroactive funding relating to 2021. And in 2023, we would expect that our net pandemic expenses will be similar to 2022, around $8 million.
Jonathan Kelcher: Okay. So just -- sorry to go back to the -- ask on the funding increase. You said, you are expecting what you’ve historically gotten, but asking for 9%. And that also -- that kicks in April 1st, if I recall, correct?
Nitin Jain: That's correct. So, I would say, I think, to answer the question more directly, our outlook at this stage just only includes what has been in the past, which is around 2% or so. What we are expecting though or what we are advocating for is 9%, because that has been the gap in funding over the last four years. So, obviously, when that comes through, that outlook would change.
Jonathan Kelcher: And hopefully do the better. Okay. Thanks. I'll turn it back.
Nitin Jain: Thank you.
Operator: Our next question comes from the line of Himanshu Gupta from Scotiabank. Please proceed.
Himanshu Gupta: Thank you and good afternoon. So just a follow-up on Long-Term Care question by Jonathan there. So, on Long-Term Care, how many homes would you say did not achieve 97% occupancy production cost year? And what was the impact in the lost NOI because of that?
David Hung: Yes. Thanks for that question, Himanshu. So, there were about 10 homes that did not achieve the 97%. Most were actually very close to 97%. And overall, the impact in Q4 was about $800,000 in terms of occupancy clawback, and $1.3 million for the year.
Himanshu Gupta: Awesome. And for your guidance in 2023, do you assume a similar run rate or do you think recouping this $1 million back in your guidance?
Nitin Jain: In our guidance, we assume that most of it would be recouped back, because 2022 had -- still had significant outbreaks. We are working public health, when you can admit people, when you cannot. So I think that has been a bit all over the place from a policy perspective and process perspective. What we are really looking for is that it really should be in extreme cases where either there is no demand, which is going to be very surprising considering the 40,000 people on a wait list or some circumstances which are outside of everyone's control. So, we expect the majority of our homes to get to 97%.
Himanshu Gupta: Awesome. Okay. That's helpful. My next question would be how much of your 2023 NOI guidance is impacted because of phase-out of third and fourth batch? I mean, basically are you assuming any negative impact at all in this guidance?
David Hung: We are not assuming any impact from the phase-out of the third and fourth beds.
Himanshu Gupta: Okay. So, if I were to say that, is there more upside or downside to your flat LTC NOI guidance, looking at both these items? If the occupancy doesn't meet 97% is downside. If the impact is there because of third and fourth beds, again there's more downside to do. How would you think that question?
Nitin Jain: Sure. That's a great question. So I would maybe answer in a few different ways. The first is third and fourth bed rooms, we have not built in any impact. And you can too feel that the funding is obviously one thing and the impact on NOI, but I think it will, frankly, destabilize the whole C portfolio. And this is Ontario way problems, because there's still 30,000 beds, which are C homes and they'll put them significantly under duress. The second part on 97%, so obviously, we are assuming that we'll get to majority of our homes 97%. So, the 1.3 million that David spoke about is frankly being eaten up, because you have costs which are running much higher to the 1% or 2% funding increase that we are assuming at the moment. So the upside is not really the right word, frankly. The right size is what we're after that what we want to do is ensure that the long-term care funding is the right sized, because it's going to put the sector at significant challenge, then the whole sector is trying to build thousands of beds to meet these growing demands of long-term care needs. So I would say, whether it's upside or downside, I think remains to be seen. And as we talked about previously, we find government in Ontario, BC and Saskatchewan, quite understanding of the challenges and willing to hear. So I think we continue to have very good access in terms of explaining what the challenges are. Obviously, what remains when the budget comes out, that's when we'll truly find out what the outcome is.
Himanshu Gupta: My next question is on the Niagara Falls development. So, looks like the projected costs of construction has gone up from $50 million to $55 million. And yet the development yield is unchanged at 7.5. So, are you underwriting better rates now? What led to that increase and yet no change in development yield?
Nitin Jain: Sure. The cost, frankly -- you're right, the cost has gone up from nearly $50 million to $51 million or $55 million. And given that those costs were from 2019, we frankly think it's a new borderline miracle that cost only went up 10%. And a big chunk of it is obviously construction financing that impact on interest rates. So, we are very happy with the outcome of it considering cost has gone up nearly 30%, 40% and other projects. And we are seeing better rates. I mean, we're seeing better rates across a portfolio. So that's why the yield is not changing.
Himanshu Gupta: And maybe my last question is on retirement home NOI margins. I think you provided guidance of 150 to 200 basis-point expansion in this year. How do you get that visibility and what is causing these margins to go up?
Nitin Jain: Sure. I mean, really, we are also expecting a change in occupancy. So we ended the year at an average of around 88.6%. And we are calling an average occupancy in the same property portfolio of nearly 90%. So, that's the average. So you start at 88.5, your average is 90. So that mathematically will put us close to 92% in as our occupancy at the end of next year. So, just from a math perspective. So we are factoring in a significant change in occupancy, going from 88.6 to the low-90s. And with that, obviously, at these occupancy levels, a bigger chunk of your revenue is going into the NOI. So, that gives us the first comfort. And then just in margin in general, for example, the margin are running lower than what we have in the past. However, when you look at our full year NOI for Retirement, we are up nearly 10%. We ended the year 2021 at around 52.5 million in same property. We’re ending this year at around 58.5 million. So it's up significantly. And that's the challenge in a rising -- or it's in an inflationary environment. So for example, if you had a home which had a revenue of 100 and your NOI is 50, and your cost is going up by 6%, so going up $3, so you're increasing your revenue by nearly similar amount because at some stage there is a cap to what you can increase. Your NOI continues to increase, but your margin is going to reduce a little bit. So, that's what we're dealing with at the moment. And if we were not in an inflationary environment, we would have expected our margin in fact to be higher, as we are progressing toward these higher occupancy and nearly stabilized levels.
Himanshu Gupta: Thank you. That's very helpful. So it looks like NOI margin is down from pre-pandemic levels. But maybe NOI per door or per suite could still be up. That's very helpful. And thanks and I'll turn it back.
Nitin Jain: Thank you.
Operator: Our next question comes from the line of Tal Woolley from National Bank. Please proceed.
Tal Woolley: On the Long-Term Care business, just maybe if we could step back a little bit further. If we go back pre-pandemic, this is sort of like a $85 million kind of NOI business. I'm wondering as we look out going forward, you've obviously provided some specific guidance for the near-term and that's helpful. Can this business get back to that level of profitability do you think or should we be thinking something a little -- lower rebound or much lower rebound than maybe what was initially hoped coming out of the pandemic a couple of years ago?
Nitin Jain: I would say, you are right, it's around $85 million. I would adjust for -- we did sell one Long-Term Care home in Q1 of 2022 a C class home to a significant gain. So I would remove that. There was around a couple of million dollars of NOI. We are unfortunately closing a long-term care home because of some building deficiency. And even though it had really no NOI impact in 2022, that's why we don't see any negative impact in 2023. And that was another $1.5 million nearly of NOI. So I would say the starting point, it might not be $85 million, it might be $81.5 million. But the question remains the same. And we continue to believe that a big chunk of that is driven by the funding shortfall, which is around 9%, and that would account for nearly two-third of the difference between what we are forecasting and that $82 million. The other part of it is pandemic expenses. And even though the world around us has changed and for many people, COVID is in one way over. But as I visit our communities, we still have screening, we still have people masking, we still have outbreaks, which puts significant pressure on staffing and agency. So, there is an aspect of that. And we continue to believe that because the impact of COVID today has been very different than it was three, four years ago and as time passes, it's going to become more and more less. So, that's why we feel confident that we can get to that number, which was pre-pandemic.
Tal Woolley: Okay. And then, I know there have been some discussion to like in addition to funding increases, maybe some work with the government around regulating agency -- how agencies practice in the province. Has there been any headway made on that particular file?
Nitin Jain: I would say there's been a lot of discussion because it is -- the issue is twofold. One is obviously, there’s impact on funding. But the second is really -- and equally important is the impact it has had on the stability of team members. Because when you have agency in your team, and they're new, they don't understand what's happening at home. So, at times, that obviously creates more work for current team members, so gets into higher turnover eventually. And the second is the impact on resident experience. Because, especially in long term care, when you have complex healthcare needs of residents, and you're getting new staff members on a daily basis, it's really not that helpful. So frankly, it's a combination of all of those things. So, we don't know what the end would be in terms of resolving it, but we find there's more and more discussion about finding a viable process. So, we don't -- we’re not trying to limit competition or people's businesses. But we are now looking at a scarce resource, which, especially nursing staff, and in a place where you need to have nurses and you're at times paying in multiples of what your union wages are. So that has to get resolved. And we feel that there's traction on getting something done on it.
Tal Woolley: Okay. And this is something also that -- like, it affects the hospitals -- the other parts of the healthcare system that are owned by the government.
Nitin Jain: Yes.
Tal Woolley: Okay. I'm just wondering if we could walk through given that you've greenlit a couple new development projects here, could you just walk through, like what you expect total capital spending to be this year?
Nitin Jain: So we've got to be very cautious on how we do that, given what is happening to the share price, obviously, the capital markets in general. So even though we continue to have very good access to capital, and David and his team recently went through some refinancing work and CMHC financing is very attractive, even though it doesn't apply to long-term care. But because we have a number of unencumbered projects, we can obviously move financing around or fund it through different ways. So, this is something which is top of our mind. Making sure that we are fully committed to doing redevelopment, especially the three projects we announced. But we have to do it in a responsible way that it does not put undue pressure on our balance sheet. So, so far, we feel comfortable with what we've announced, which is the Brantford project. As we decide the next two, those are the different things we are contemplating how best to finance them. So, it's -- we set up for the long-term without putting too much pressure on the short-term.
Tal Woolley: Can we put some numbers around that in terms of…
Nitin Jain: Maybe it's a month and a half to early. So we are in the tender process for -- to put two projects. We have given out construction costs in the past and we have been wildly wrong. So, we don't want to repeat the same mistake again. So for Brantford, for example, the $140 million that what we are placing here. That's tendered cost, projects have ordered construction to start in short in short order. So we feel a lot more comfortable sharing those. The other two, high-level could be in the same quantum combined, Tal. But I think, again, we'll have to wait for a bit of time to get those costs finalized.
Tal Woolley: In your normal course maintenance CapEx, where would you peg that right now?
Nitin Jain: So, we always disclose our maintenance CapEx as actual. So, David, you can speak to our spend in 2022?
David Hung: Yes. So, in 2022, we spent approximately $11 million in maintenance capital, and we would see that in 2023 our maintenance capital will increase, partly because of the acquisitions that we made earlier in the year, but also because of inflation -- general inflationary increases.
Tal Woolley: Okay. And I guess just lastly, like -- can you just talk a little bit about where you are seeing financing, and you talked a little -- or we’re you’re seeing financing costs right now? And you talked earlier about you want to be -- make sure that you are not stretching too far with the balance sheet. Can you give us an idea of what that envelope might look like? What would you consider to be kind of like too much leverage at this point in time?
David Hung: Yes. I mean, I can start and Nitin can jump in after. But with respect to financing, we are seeing a very attractive market right now with CMHC debt. Just as an example, we refinanced one of our retirement buildings in Q4 for about $45 million and that helped us repay $40 million of our acquisition term loan. So currently, CMHC debt is where we are looking right now. And we do have a number of unencumbered assets that we could use to basically refinance with CMHC debt. The rate itself, what we got in for this particular retirement home, it was under 4%.
Tal Woolley: Okay. So how much more CMHC financing theoretically could you be able to do?
David Hung: Yes. Probably -- I mean, we certainly don't want to structure our balance sheet. We are very mindful of our debt to gross book value, probably in the range of $100 million is what we would be looking at.
Tal Woolley: Okay. And then, again, like as you start to take on more development, like what sort of the envelope you'd like to keep that balance sheet in terms of ratios?
Nitin Jain: So from a debt to book value, I mean there are 2 ratios we are managing closely. One is the debt to book value where we have a lot of room, we had around 43%, 44%. And we said with development, we’re comfortable getting it closer to 50%. But it will take its time because even when we start these three projects, the impact on 2023 is smaller. Obviously, 2024 would be a bigger spend year. And the second one is the debt-to-EBITDA. So again, our goal is to be between -- around 8. I think with development, it is going to go a little bit higher. And that's what we are trying to match that we don't really exceed it by too much.
Tal Woolley: And the credit rating agencies are cool with you pushing north of 9, do you think that that's going to be -- they'll allow for that?
Nitin Jain: So we have had very good discussion with DBRS. So the current DBRS rating does not include a lot of development, but they know that there is a lot of development at the horizon. So, I think it really would depend on the pace. As we said, the three projects by itself and there are some interesting things we are looking at how best to finance those. So, we obviously continue to work very closely with them. They expect the development to happen. And with that in mind, obviously, our rating was reconfirmed. But that is something will be a continuous ongoing discussion and a very important metric for us to ensure that we preserve that credit rating.
Tal Woolley: Okay. Thanks very much, gentlemen.
Nitin Jain: Thank you.
Operator: Our next question comes from the line of Pammi Bir from RBC Capital Markets. Please proceed.
Pammi Bir: Thanks. Good afternoon. Just with respect to these persistent pressures on labor costs and shortages, whether it's in retirement homes or in long-term care, in your mind, is this really now a perhaps permanent structural issue that could last sort of well beyond the next year or two?
Nitin Jain: Absolutely. Pammi, I think there are two things we said, we believe that will be true for us. They're not going to enough places for seniors to live. Because we have a long waiting list in Long-Term Care already. And Retirement construction has slowed down significantly. And the second is, the human resource crisis is here to stay. So you're absolutely right. We have a big push in immigration as a country and all sorts of different things. But I would say many other countries are doing the same. And that is why I think that -- we recruit a lot of people a year. I mean, last year, we recruited north of 5,000 people. So, we have a very good talent acquisition team. The focus really for us is how do we hold on to those people for a longer period of time, because there's a higher churn of people, in this sector, whether it's driven by wages, whether it's driven by more flexibility, or other factors. So, that's what we're after. And that's why the work around scheduling systems, the focus on culture, focus on making sure our team has paid competitively, that's going to be that's going to be a key factor.
Pammi Bir: Nitin, maybe just coming back to you, I wanted to just clarify your comment earlier. You mentioned the 9% funding gap in the last four -- I think you said four years. Is that the average annual funding gap or the total funding gap, in terms of I guess the recoveries versus the actual funding that was received?
Nitin Jain: Yes. Thankfully, it's combined 9%, Pammi. Otherwise, we frankly would have a very different call today. No. So, it’s a combined 9% funding gap during this time, and that, in our mind will put us on the right course. And obviously then funding changes on annual basis which stay up with inflation.
Pammi Bir: And then just maybe to -- just to clarify, with your -- through Q1 to date, have there been any recoveries of pandemic costs related to 2022 so far?
David Hung: No, there have not been any.
Pammi Bir: Okay. And then just maybe closing the loop on the -- on the questions around capital and leverage and development spending. I'm just curious about the payer ratio has now hit -- it's elevated -- 100%. Now, yes, you are assuming some growth in the retirement portfolio next year, and maybe flat long-term care. But under what circumstances would you consider or reconsider the current debt payout?
Nitin Jain: Sure. We have always talked about, I mean, the questions we used to get for years the exact opposite, because our payout ratios and 60% ratio, and two things have happened, which to take it from 60% to 98, or 99%. Now, one is obviously, the impact of a pandemic, reduce reduction of occupancy and retirement, then increased expenses in both lines of businesses. And the second, which is peculiar to us and senior living is the construction funding, which used to -- they have it for our A homes, which were built previously, which has come down by nearly 6 million to 7 million over the last four years. So, those are the two drivers which are -- which have been factoring that. We continue to feel confident on the recovery path, both from a construction funding, that's why the importance of these three projects to start construction, and being able to get and make the funding gap between what the government is funding what we expect the government to fund going forward and our requirement occupancy. But if we don't get to those -- the gap of that -- the long-term funding and we don't get occupancy, obviously and we don't get to start construction, that would be the time that we will have to rethink this. But at this stage, we continue to feel confident on a recovery on all those three fronts.
Pammi Bir: Thanks for the color, Nitin. I will turn it back.
Nitin Jain: Thank you.
Operator: There are no more questions. Thank you, ladies and gentlemen. This does conclude today's call. Thank you for your participation. You may now disconnect.